Operator: Welcome to MasTec's Third Quarter 2012 Earnings Conference Call Initial Broadcast on November 2, 2012. Let me remind participants that today's call is being recorded. At this time, I would like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Please go ahead, sir.
J. Marc Lewis: Thank you, Marquita. Good morning, everyone, and welcome to MasTec's third quarter earnings conference call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking, such as statements regarding MasTec’s future results, plans and anticipated trends in the industries where we operate. These forward-looking statements are the company’s expectations on the day of the initial broadcast of this conference call, and the company will make no effort to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In today's call, we may also discuss certain adjusted financial metrics or use non-GAAP financial measures in our analyses. A reconciliation of any adjusted financial metrics or non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measures can be found in our earnings press release, SEC filings or on the Investor Relations section of our website located at mastec.com. With us today, we have Jose Mas, our Chief Executive Officer; and Bob Campbell, our Executive Vice President and Chief Financial Officer. The format of the call will be opening remarks and analysis by Jose, followed by a financial review from Bob. The discussions will be followed by a Q&A answer period, and we expect the call to last about 60 minutes. We have a lot of good news today, and I'd like to turn it now over to Jose. Jose?
Jose Ramon Mas: Thank you, Marc. Good morning, and welcome to MasTec's 2012 third quarter call. Today, I will be reviewing our third quarter results, as well as providing my outlook for the markets we serve. Before we get started, on behalf of MasTec, I would like to offer our thoughts and prayers to all of those affected by Hurricane Sandy, including our team members and partners in the area. We are praying for a speedy recovery. Also, before getting into the numbers, I'd like to cover 2 topics. First, as discussed on our last quarterly call, we took a $9.6 million pre-tax charge for the settlement of litigation in Spain arising from a subsidiary we sold in 1998. And second, during the quarter, we also made a decision to sell our small water and sewer subsidiary that has been struggling in recent years due in large part to the lack of financial resources available to municipalities and state governments throughout the country. My discussion of our third quarter numbers will exclude both of these. Now some third quarter highlights. Revenue for the quarter was $1,067,000,000, a 31% increase over the prior year's third quarter. Adjusted EBITDA from continuing operations was $101 million, an increase of 31% over last year's third quarter. Adjusted earnings per share from continuing operations was $0.53, an increase of 51% from last year's third quarter, and cash flow from operations for the quarter was $119 million. In summary, we had another excellent quarter. I'm proud to say that revenues in this quarter exceeded the full year revenues of 2007, my first year as MasTec's CEO. We've come a long way in 5 short years. More importantly, during that same period, earnings growth has outpaced revenue growth. While we enjoyed strong growth during the quarter and our operational and financial performance continued to improve, the highlight of the quarter is the improving outlook for the markets that we serve and the long-term growth prospects for the company. Our exposure to petroleum and natural gas pipelines and facilities, high-voltage electrical transmission, wireless infrastructure construction and construction of power generation sources should continue to be excellent sources of growth and opportunity for MasTec for years to come. Now I'd like to cover some industry specifics, including recent trends and opportunities. Our communications revenue was $437 million, a slight increase over last year's third quarter. Our install-to-the-home revenue was up 21% sequentially and down slightly year-over-year. With our expansion into the Northeast last year, we now have a significant presence in a number of states impacted by Hurricane Sandy. Though to date, the storm has been very disruptive to this business, we will be supporting DIRECTV in restoring service to their customers as quickly as possible. During the quarter, we also extended our contract with DIRECTV until October of 2016. We are proud of our relationship with this important customer and appreciate their continued confidence in MasTec. Our wireline revenue was up 16% for the quarter. The growth is being driven by the expansion of broadband and Internet in rural markets, along with the improvement in the housing market and continued activity relating to providing fiber to wireless sites. Our wireless revenue was up sequentially and down just under 5% year-over-year. We have been working off of our full year plan and have performed as expected. We are committed to growing our customer base and have made considerable progress. During the third quarter, we were awarded significant LTE builds for 2 additional carriers. While we'll see some small revenue impact in 2012, the bulk of the revenues for these awards will be earned in 2013. We have also been asked by our largest customer to help in other regions across the country. At the beginning of the quarter, we were predominantly working in 9 states. Based on current awards, we expect to be working in 25 states in 2013. Mobile data demand continues to drive the need for investment in networks, and we are seeing a growing number of carriers with expansive LTE build-out plans and, thus, the increase in demand for our services. Our utility revenue was $627 million, up 68% for the third quarter of 2012 versus 2011. Revenues and performance in the electrical transmission and substation is strong. We expect full year growth to exceed 50% from 2011. More importantly, we continue to expand our presence and win new high-voltage work. During the third quarter, we were awarded 3 significant projects: first, as discussed on our last call, we were awarded a 118-mile 345 kV transmission line in West Texas as part of the CREZ project; second, we were awarded a 54-mile 500 kV transmission line project in Arizona; and third, we were awarded a 72-mile 500 kV transmission line project in Pennsylvania by PPL. Bidding activity for transmission projects remains very active, and we believe we are in a good competitive position for future awards. Moving to power generation, which includes renewables, revenue for the quarter quadrupled those of last year. The growth is being driven by the strong demand for our wind farm construction services, the acceleration of our solar projects and our entry into the gas generation space. We will have a record year in wind revenues in 2012. While we've been awarded wind projects for 2013, we do not expect 2013 levels to match those of 2012. The wind market will be challenged until there is a resolution to the tax credit environment available to wind developers. We plan to help offset these declines in wind by our continued growth in solar and our expansion into the thermal power market. We have a number of significant opportunities in solar that we are bidding, and we should grow our solar business in 2013. Additionally, we were recently awarded the construction of a terminal station on the southern portion of the Keystone pipeline, and we are actively working to grow that portion of our business. Shifting to pipelines. Revenue was up 31% year-over-year and tracking ahead of expectations. We are now expecting pipeline revenues to approach $1 billion in 2012. We completed our 2 trouble projects during the quarter, and while we experienced some losses on those projects, margins improved nicely quarter-over-quarter. We are also seeing a significant increase in large-diameter, long-haul pipeline opportunities. These long-haul opportunities, coupled with the continued strong demand in the different shale basins across the country, should result in more opportunities and better pricing for all pipeline contractors. We are confident in our ability to grow this market, and bidding is very active. To recap, we're having a great year and we are really excited about the opportunities in the markets that we serve. Margins and margin improvement is our #1 priority, and we expect solid progress, targeting a return to double-digit margins in 2013. We are enjoying another record year of revenue and earnings and believe that we are positioned to do it again in 2013. I would now like to turn the call over to our CFO, Bob Campbell. Bob?
C. Robert Campbell: Thank you, Jose, and good morning. Today, I'm going to cover third quarter financial results and guidance for the rest of the year, and I'll also cover cash flow, liquidity and our capital structure. Before I start, I want to provide additional color on the 2 material third quarter items that Jose mentioned in his opening remarks. First, we have announced plans to sell our small water and sewer business, which has struggled in recent years. The company recorded a $15.3 million pre-tax charge in the quarter reflected in discontinued operations, which includes the write-off for goodwill, the estimated loss on sale of the business and losses from operations for the third quarter. The impact of this charge was $0.12 per diluted share for the third quarter. Second, we recorded a $9.6 million pre-tax charge related to a potential settlement of our legacy Sintel litigation taking place in Spain, which dates back to 2001. The impact of this charge was $0.07 per diluted share for the third quarter of 2012. In my remarks about MasTec's third quarter results, I will be referring to continuing operations adjusted financial results, a non-GAAP measure, without the discontinued operations numbers for our water and sewer business and without the charge for the potential Sintel litigation settlement. A reconciliation to GAAP basis reported numbers can be found in our press release and our 10-Q and also on our website. As Jose mentioned, we had another strong quarter. I'll go into details in a moment, but here are the Q3 headlines. Third quarter revenue increased 31% over last year to a record $1.07 billion, and all of the growth was organic, without acquisitions. That's our first quarter ever with revenue over $1 billion. The revenue growth was led by significant growth in power generation and industrial and in oil and gas pipeline and facilities. Continuing operations adjusted diluted earnings per share was $0.53 this year and up 51% from the third quarter last year. Third quarter continuing operations adjusted EBITDA was $101 million compared to continuing operations EBITDA of $77 million last year. That's a 31% increase. Third quarter cash flow provided by operations was $119 million compared to a negative $68 million for the third quarter of 2011. Now let me get into the details of our results. Q3 revenue was $1.07 billion, up 31% versus last year. The growth was led by revenue from power generation and industrial projects, which quadrupled year-over-year. Next, revenue from oil and gas pipeline and facilities projects was up 31% from 2011 from a broad range of customers and locations. Mostly as a result of rural broadband stimulus spending, wireline communications was up 16% and electrical transmission increased by 7%. Wireless revenue was down slightly from last year's record-breaking third quarter, and install-to-the-home was roughly flat. Third quarter cost of revenue, excluding depreciation and amortization, as a percent of revenue increased from 86.1% last year to 86.6% this year, primarily due to higher material costs associated with our power generation and industrial projects and higher costs on several oil and gas pipeline and facilities projects. Third quarter G&A expense, depreciation and amortization expense and interest expense as a percent of revenue all improved slightly versus last year. For the third quarter of 2012, the 10 largest customers were: AT&T was 17% of total revenue and down from 23% last year; DIRECTV was 16% of total revenue, down from 22% last year; Energy Transfer Company, a pipeline customer, was 8% of revenue; MidAmerican Energy was 6% of total revenue, included in that number is our big electrical transmission project in Utah handled by EC Source and wind farm work handled by Wanzek Construction; Chesapeake and DCP Midstream, both pipeline customers, were 4% of revenue; Enbridge and Dominion Virginia Power, both pipeline customers, were 3%; and finally, 2 wind farm customers were also at 3%, Duke Energy and EXCO. Regarding diversification, our top 10 customers in Q3 include 1 telecom customer, 1 satellite television customer, 5 oil and gas customers and 1 combined electrical transmission and wind farm customer. Also, we continued to reduce our customer concentration. Note that we no longer have any 20% customers. At the end of the third quarter, our backlog was $3.3 billion compared to $3.1 billion at year-end 2011 and also $3.1 billion for Q2 2012. And all of these numbers now exclude our discontinued operations, DirectStar, which was sold earlier this year, and our small water and sewer business that we discontinued in Q3. Our book-to-burn ratio for Q3 was 1.2, which is pretty good. As always, I'm giving you an 18-month backlog number. Our backlog includes an estimate of the next 18 months of revenue from master service agreements and other similar contracts. Now let me talk about our cash flow, liquidity and our balance sheet. Cash flow provided by operations was $119 million for the third quarter compared to a negative $68 million a year ago. Because of the strong Q3 cash flow, we were able to reduce the outstanding balance on our bank credit facility from $64 million at the end of Q2 down to $10 million at the end of Q3. And that was in a quarter in which we also repurchased $40 million of common stock. Accounts receivables in total were down $13 million versus Q2 despite the 8% sequential year-over-year growth in revenue. Our accounts receivable days sales outstanding, or DSOs, were 75 days at quarter end, down nicely from 82 days last quarter. While unbilled AR grew in the quarter, it was primarily driven by revenue growth. Retainage also grew in the quarter because we still have some significant projects near completion. And upon completion, we will be paid our retainage. Release of these retainage amounts should be a strong driver of cash generation both in Q4 and also in Q1 2013. And finally, we continue to make progress on our AT&T wireless receivables. We have improved our AT&T DSOs by 53 days since year-end 2011, including significant improvement in our unbilled receivables with them. Capital spending -- or regarding capital spending, our year-to-date CapEx was $50 million. We are increasing our estimate for 2012 full year CapEx to about $75 million. Our previous estimate was $65 million, but we now estimate greater spending to support anticipated electrical transmission and oil and gas pipeline growth and to take advantage of the 50% bonus tax depreciation that is available this year. Our estimated 2012 capital expenditures of about $75 million is slightly higher than the 2011 spending of $72 million. Now let me talk for a moment about our capital structure. As a quick capital structure summary, at quarter end, we had $816 million in equity, $453 million of total debt, only $443 million in net debt, that's net of cash, and we expect to have $325 million of 2012 continuing operations adjusted EBITDA. Therefore, all of our balance sheet and credit ratios are in very good shape. I'd like to note 3 things about our capital structure: first, we have no significant debt maturities until '14, '16 and '17; and second, all of our debt has attractive interest rates and terms; and third, we have tremendous availability from our $600 million mostly unused bank credit facility. Availability from our new bank credit facility at quarter end was $491 million. In the name of clarity, before I cover 2012 full year and fourth quarter guidance, let me cover explicitly and in detail what we have done to derive continuing operations adjusted numbers for 2012 and the comparative numbers for 2011. In summary, there are 3 items that we're carving out of our 2012 earnings and 2 items that we have adjusted out of our 2011 earnings. So there are a total of 5 items impacting the numbers. First, in the second quarter of 2012, we sold DirectStar, our DIRECTV marketing business, at essentially book value, and all prior period earnings are now classified as discontinued operations. That means that our $325 million of 2012 EBITDA excludes the $6 million of EBITDA earned by DirectStar earlier this year. Second, in the third quarter of 2012, we adopted a plan to sell our small water and sewer business and recorded a $15.3 million charge -- pre-tax charge in discontinued operations. We wrote off the water and sewer goodwill and wrote down all the assets to what we believe is fair value for a $12.7 million charge, and we had $2.6 million in operating losses in Q3 for the water and sewer business. This business is also now classified as a discontinued operation and excluded, of course, from continuing operations numbers. Third and also in the third quarter of 2012, we booked a pre-tax reserve of $9.6 million for a potential settlement of our legacy Sintel litigation, which is taking place in Spain and dates back to 2001. Fourth, in the second quarter of 2011, we recognized a $29 million pre-tax remeasurement gain related to acquiring all of EC Source, our electrical transmission large-project company. And fifth, in the fourth quarter of 2011, we recorded a $6 million pre-tax charge for the withdrawal liability caused by leaving one of the Teamsters multi-employer pension plans. We believe that it is useful for our constituents to see our numbers for continuing operations only and without the adjustment items that I just covered. We have reconciliations for all of these items to GAAP measures in yesterday's press release, in our 10-Q and on the MasTec website in the Investor Relations section. As I mentioned, we are adjusting full year 2012 guidance. MasTec's 2012 guidance is revenue of $3.66 billion, continuing operations adjusted EBITDA of $325 million and continuing operations adjusted diluted earnings per share of $1.50. That's 29% revenue growth, 33% growth in continuing operations adjusted EBITDA and 55% growth in continuing operations adjusted diluted EPS. Our 2012 full year guidance assumes a tax rate of about 39%. Acquisition amortization expense is estimated at about $11 million for 2012, which is down from $14 million last year. Our estimate for full year share count for fully diluted EPS is about 82 million shares. Remember that our share count for EPS purposes can fluctuate up and down with our stock price because of the accounting for our convertible notes. There's information about share count for EPS purposes in Footnote 2 in our 10-Q. Fourth quarter 2012 guidance is revenue of $866 million, continuing operations EBITDA of $92 million and continuing operations diluted earnings per share of $0.45. One final comment about guidance. A number of our businesses operate in the areas affected by Hurricane Sandy. It is just too early today to determine the extent to which Hurricane Sandy could impact our fourth quarter results. Therefore, our guidance does not reflect any impact, either positive or negative, that might arise from the storm. In summary, we had a good third quarter. We put a couple of troubling issues behind us in the quarter, and we currently expect to close out 2012 with a good final quarter. That concludes my remarks. Now let me turn the call back to the conference operator for the Q&A session.
Operator: [Operator Instructions] And we'll take our first question from Alex Rygiel from FBR Capital Markets.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Since Sandy is so high on everybody's mind right now, unfortunately, can you touch upon both the positives and negatives that you expect to experience over the next months and maybe identify sort of each one of your end markets that is experiencing other positives or negatives?
Jose Ramon Mas: Sure. One of the things that's different for us probably now than in the past is we do have a much larger presence in that area, in that geography, than we traditionally had, predominantly through our DIRECTV business. We've got a lot of people in that market. We obviously got into that market last year through the acquisition of Halsted, so we cover a lot of the areas that, really, were most impacted by Sandy mostly in that business. So the first few days of the storm have obviously been very disruptive. We've got issues in terms of getting our people out and getting them working. And obviously, DIRECTV needs power to work. As soon as power comes back, customers are going to find themselves without cable TV or satellite, and I think satellite has a real advantage in being able to come back on air rather quickly once power is on. There really doesn't need to be a lot of line work and stuff like for the cable TV companies. So in the past, at least in Florida, when we've had hurricanes years ago, it's been a big opportunity for DIRECTV to gain new customers and to try to bring people back to life as normal, and some of that involves being able to have TV, right? And so we'll support them, and we've got a lot of people. We've got a lot of people on standby to move into that area as soon as power is back to help them. We obviously don't know what the impact to that business, positive or negative, will be. It's going to depend on power coming back and really understanding what kind of damage to people's satellite and roof there was in the market. When you look at our distribution and transmission businesses, we have a lot of people that have been deployed into the area. We're supporting the electric companies from a power perspective. It's a big opportunity for us, obviously, and one that we participated in on past storms. I think this one's going to take a while, so I think there's a lot of opportunities for everybody in that business, unfortunately, to generate some extra revenues. We've got the pipeline work that we're doing in the Marcellus area that was slightly affected. None of our jobs were really impacted too badly, so we think that we're trying to find areas of support there and ways of supporting the pipeline companies. We're talking to some of the federal government agencies about some of the opportunities. So it's early. I think that everybody's worried about restoring power, at this point. It's a tragedy and we've lived -- obviously, we're from Miami, so we've had to live with this for a long time, and I think we understand it well. And we'll be there to try to support whatever customers need us.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: And secondly, your quarter was very strong. Your guidance for the fourth quarter also is very solid but not necessarily higher. Given the very strong new award -- awards in the quarter, any particular reason why maybe you didn't raise guidance in the fourth quarter?
Jose Ramon Mas: Well, a couple of reasons. First, when you -- we have no Hurricane Sandy impact in our numbers because it's too early to tell, so we didn't adjust our fourth quarter at all based on the storm, positive or negative. We've got a decline of about 40% in our renewable business built into our fourth quarter, so a big chunk of the drop from Q3 to Q4 is really driven by the renewal projects that we've been working on all year. And to some extent, from a margin perspective, it's very positive, right, because that business runs at about half of the EBITDA margins of the rest of the business, so it's dilutive to margins. It's outperformed all year. It outperformed in Q3 from a revenue perspective. A lot of our revenue beat was associated to what was happening in renewables. So that's a good thing and, at the same time, it's a bad thing because it depressed our margins a little bit. So you see a margin pickup. Some of it is really the change in mix in terms of renewables dropping in Q4 versus Q3, and that's been expected. We've had a phenomenal quarter in terms of wins, both in our wireless business and in our transmission business, and even in the pipeline business. But a lot of those projects, quite frankly, will have some startup in the fourth quarter, but a lot of that's going to hit in 2013, which, again, is -- from our perspective, gives us a lot more clarity into next year. And we feel great about going into 2013. But I don't see enough acceleration in those projects to have a big impact in the fourth quarter.
Operator: And we'll take our next question from Andrew Kaplowitz.
Andy Kaplowitz - Barclays Capital, Research Division: Jose, in the wireless business, I couldn't help noticing the comments you made about your largest customer and expansion and then the 2 new LTE customers. What does that mean as we go forward? I mean, 9 to 25 is a huge number, but at the same time, maybe you're just doing a little bit of work in these extra states. I mean, is there any way to size the opportunity for us, even if it's not absolute specific numbers?
Jose Ramon Mas: Well, first, it's great news no matter how you cut it. I think it does a lot of things for us. First, I think it truly makes us a nationwide provider in that space. I think we've been viewed, unfortunately, as a very, very solid provider in certain geographic regions, but quite frankly, we weren't everywhere. We weren't in every state. We weren't in every geographic region. And I think this changes that. I mean, if you look at the states that we're going to be working in next year, we pretty much have a presence throughout the whole country. And what it does is it opens up the opportunity for multiple awards in those states by multiple vendor or by multiple customers, so it's a great business opportunity for us to continue to expand our wireless business. We're not going to have the level of activity in every one of those states that we have in our current 9. We're obviously a very dominant provider in the 9 states that we currently operate in. And we're going to be building a presence in a lot of those markets, some faster than others. I think a lot of the future will depend on our ability to gear up in those states and really make a big presence. But the opportunity, the revenue opportunity that's provided to us is substantial. It's big, and it's going to be about our ability to execute how big that can get, but we're expecting a very solid growth in that business in 2013. 2012 was somewhat of a year where there was a lot of challenges in the business. AT&T went through the T-Mobile acquisition issues of last year. It affected their spend for 2012. We've been living that all year. Our revenues are exactly where we expected them to be, so we've been working off the plan that we've had all year. We have much better visibility into '13 in terms of what they're thinking than some of the other carriers. And again, we expect some pretty strong growth in that business in '13.
Andy Kaplowitz - Barclays Capital, Research Division: Is it fair to say that you can do double-digit gain just on share gain itself? I mean, is that something that we can think about? Let's say, AT&T was flat next year in your 9 states?
Jose Ramon Mas: I think it's absolutely an opportunity. Again, it's going to be about how we execute, but that level of opportunity exists with our existing customer.
Andy Kaplowitz - Barclays Capital, Research Division: Okay, fine. And if I could switch to transmission, just maybe a little clarity, Bob. The PPL award, was that last quarter or this quarter, 4Q, for the backlog?
Jose Ramon Mas: It was right on the border, and it is not included in backlog.
Andy Kaplowitz - Barclays Capital, Research Division: Not included, okay, good. And then if you look at the opportunities going forward, I mean, both PPL, PacifiCorp, all these guys seem to have follow-up work or different lines that are going forward. Inevitably, we need to ask you about capacity, but it seems like you've really got some momentum now. So can we see this kind of continued momentum, especially from these customers that you're gaining traction on, over the next 6 to 12 months? Should we expect more good news? I mean, I know you kind of said it, Jose, but just maybe any more clarity?
Jose Ramon Mas: Yes.
Operator: And we'll take our next question from Bill Bremer with Maxim Group.
William D. Bremer - Maxim Group LLC, Research Division: I just want to voice, Jose, you made a real nice comment this morning targeting double-digit margins in 2013. Can you provide a little more color on that, what's going to be driving that, when do you expect that run rate to hit?
Jose Ramon Mas: Look, we have a business that should be delivering double-digit EBITDA margins. We should be a business that's at, at least, 10% EBITDA margins. When you break our business apart, there's reasons that we've been challenged to get through this year. We've talked ad nauseam about our 2 troubled projects in Marcellus that affected the last part of last year and the earlier part of this year. We had an unbelievable year in renewables, which, again, was very positive from a growth perspective but very dilutive to margins as the year went on. Again, those projects are running at about half of the margin of the total company. So as the mix changes a little bit as we look into 2013, with transmission and pipeline growing the way that we expect and wireless growing the way we expect and our power generation group, including renewables, really shrinking as a total size of the company, the margin story becomes a lot nicer. And we've been saying for a long time that '13 is a year that we expect to be at, at least, 10% EBITDA margins. That's the goal that we're putting out there. That's the targeted goal, and we really think we can hit it. You back out the renewable business for the quarter in total, and we would have been at about 10.7% for the rest of the business. Now we're still going to be in that business, but it kind of does give a perspective on where the overall business is and the things that we need to do to get our overall margins up. Pipeline, the margin should have been a lot better this year. They're performing dramatically better now than they were last quarter, but we still have improvement there. So we're pretty excited about where the business is going, where it's headed and our margin potential opportunity.
William D. Bremer - Maxim Group LLC, Research Division: And I just want to touch on pipeline a little bit right here. Precision, can you give us an idea -- since that's primarily long-haul, how are you balancing that? Are you able to bring those individuals down to the shales and utilize some of those assets? And in addition, you've mentioned that in long-haul, a lot of talks are happening. One of your competitors voiced that as well earlier this week. Give us some more color on long-haul.
Jose Ramon Mas: Well, 2 things. I think A, we've been in the shales since we've been in the pipeline business, so as a lot of the companies that we first acquired were shale businesses, and we've been very active in all of the major shales for years. And I think that's really helped us, and it helped us as the long-haul market deteriorated a couple of years back and we saw less work in the long-haul market. Our shale business really grew, and it's a part of the reason that we've got close to a $1 billion pipeline business, is because we've got so much work in the shales because there isn't a lot of long-haul work today. That's changing. Precision used to be predominantly a long-haul pipe contractor that became a predominantly shale contractor because of what was happening in the market. And the long-haul market's returning. We expect them to be a significant player in that market. There are a lot of opportunities for us. We're extremely bullish about that business just because it's going from very little activity to a lot of activity. And I think everybody in the space is going to enjoy that and really benefit from that. And with that said, the business in the shales isn't going anywhere. I mean, it's as active or more active than it's ever been. So when you add all the long-haul work that's coming with the existing shale work that's already there, there's going to be a significant strain on resources, which is going to give the ability to every major pipeline contractor to A, win more work; and B, more importantly, really price the work better and, hopefully, if you can execute and you can price it well, see much better margins than what the industry's seen in the last few years.
Operator: And we'll take our next question from Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: My first question is really a follow-up to something Andy asked earlier on. You've got the generator program happening with AT&T. You've got a very commendable regional expansion. If AT&T's wireless CapEx is flat next year, do you think from these market share gains and the generator program, you could still see growth?
Jose Ramon Mas: So a couple of things just to try to put that in perspective. A, the generator program for us is a program that we haven't really seen any activity under yet because it was -- through this year, it's been unfunded. So while we were expecting to do a lot of work in the generator program this year, it didn't come to fruition, and I think we've talked about that on previous calls. It still hasn't. Now I think that unfortunately, Hurricane Sandy's bringing that a lot to light. There's been a lot of discussion. There was an article, I believe, in the Wall Street Journal yesterday specifically about generators and wireless towers, which I think is very positive. There was -- the article talked about how the SEC was, at one point, considering mandating that to all of the wireless carriers, and it didn't happen. But obviously, this is going to raise that again into the limelight, and I think it will be interesting to see what comes of it, and I think we're well positioned if that happens to be a major participant in some type of rollout like that. So we'll see what comes from that. Again, I think AT&T this year put out its CapEx forecast. I think they've talked about being maybe on the lower end of that range. Again, we've been saying it all year. They had a lot of unintended consequences happen from T-Mobile issues, and I think they're very active. They've got big plans. They're full steam ahead on LTE, and I think you'll see it in their numbers next year.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: That is helpful. And my second question is in regards to Wanzek. I think all of us sometimes end up thinking of Wanzek as more of a wind contract while it's so much more. And we've seen some big awards go Wanzek's way, but as you look at the petrochemical industry and really the huge, exciting opportunity that's unfolding here in the U.S. and you started to see some orders come out, can you talk about any prospects you see for Wanzek on the industrial and manufacturing side?
Jose Ramon Mas: Well, look, I think the win that we had with TransCanada on the Keystone pipeline for the terminal station is a huge win. It's a huge market that's going to open up a lot of opportunities for us with all the different, really, carriers and pipeline companies that are out there building. There's a lot of that that happens on every major line, and that happens to be a very significant project in terms of size and scale. And there are projects like that and there are projects that are smaller than that are really good. So we've been in the process of repositioning Wanzek for a long time. When we bought them, they were primarily a wind contractor. Today, we're doing so many more things out of that entity, including solar and the peaker plants and things associated with industrial and gas generation. So look, it's a long process. It doesn't happen overnight. We've hired some really good people into that team, and over time, it's going to look different. It's going to be a very different business a few years from now than the one that we bought a few years ago. But I think we're doing all the right things. I think they have tremendous momentum and they're moving in the right direction. And it's a matter of winning new work, expanding into new markets, gaining a reputation, gaining a foothold and then growing based on that. And I think we've done some of that. I think we've demonstrated some of that. But I think, really, the opportunities and the success there is yet to come.
Operator: And we'll take our next question from Noelle Dilts with Stifel, Nicolaus.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Just addressing a couple of other businesses that we haven't talked about so much yet, on the DTV side, you've seen a little bit of weakness in the last 2 quarters. Can you just give me your initial thoughts on going into '13 on that business, maybe talk about what's driving some of the weakness and if you expect that to persist next year?
Jose Ramon Mas: We're tied to DIRECTV in that business, and obviously, the direction that they decide to go and the things that they try to push are going to affect our business one way or the other. They've been very vocal this year about not necessarily being a year of customer additions but rather a year of retention. And I think you'll see us -- I think you'll see some of that next year as well. I expect to see a pretty good ramp in what they call upgrades just based on what we're hearing from them, and they're going to invest a lot of money into their existing customer base and obviously try to solidify that to lessen the churn numbers. I think you're going to continue to see a similar number in terms of additions. So we're, right now, a little bit bullish in terms of where we think that business goes versus this year. I think they kind of put the brakes a little bit in 2012, and I think you'll see maybe that improve a little bit in '13. But like in every one of our businesses, part of our job is to figure out what do we do with that work force and how do we find growth within the platform that we have. And we've talked a lot about it in the past. We think security is a natural extension for us in that business. We're doing some trials with some people right now that are probably progressing a little bit better than others that we've done in the past. So we're working hard at diversifying their customer base, and I think that the real opportunity for growth in that business is our execution on that diversification. And when we find something that hits, that's going to be a very good story to tell in that business.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay, great. And then with these big transmission project wins, which are, again, very impressive, can you just discuss -- I know you don't talk about margins specifically for each of your businesses, but can you just talk, on a relative basis, what you're expecting in terms of margins? Are you expecting these projects to carry similar margins to your Mona-Oquirrh work? Are you seeing a little bit better pricing in the market? I'd appreciate your thoughts there.
Jose Ramon Mas: Well, I think you can see it in the industry. The transmission business generally performs at higher margins than, at least, what we've been able to deliver as a total company. Our transmission business has delivered higher margins than our total company margins, and we expect that to continue. So really, no changes with the work that we've been awarded. We expect it to outperform the rest -- really our company average margins.
Operator: And our next question comes from Veny Aleksandrov with FIG Partners.
Veny Aleksandrov - FIG Partners, LLC, Research Division: My first question is on the pipelines business. Apparently, it's a huge business for you right now, and I just want to make sure that we understand. In the shales, Jose, that makes the [indiscernible] there was a lot of business in the shales, but at the same time, the number of drilling projects in the shales keep decreasing and everybody else is struggling there. So I just want to make sure that we understand the drivers, why your business is so strong on the pipelines side.
Jose Ramon Mas: Well, I don't think you're hearing anything differently from any of our peers. Those that are involved in this business are very active. It's a very active period. Infrastructure in the different shales is still, to a great extent, nonexistent. There's a lot of work that needs to happen in the sales to have the infrastructure available for people to be able to move. Whatever they're drilling out, we're seeing -- when you see some of the very successful shales, one of the things that you'll find is that there's multiple levels to those shales, so you can be drilling for dry natural gas, you can be drilling for liquids. And we've seen a lot of movement of drills over the course of the last 6 months based on the different price of the different commodities. But we're seeing very active -- we're seeing a lot of activity right now relative to pipelines. Our customers tell us as we go through their '13 thinking and budgeting and plans, and we think it's going to be a bigger year than '12. So for us, there's no end in sight. It's very active and we expect it to continue.
Veny Aleksandrov - FIG Partners, LLC, Research Division: And what's your geographic distribution on the pipelines business right now?
Jose Ramon Mas: Well, the biggest shales for us are the Marcellus Shale and that whole area, including Utica, and really in the Texas shales, in predominantly Eagle Ford. We're active in Bakken. We've worked in Haynesville, so it's really broad-based. I think there isn't a major shale that we're not either participating in or getting close to participate in.
Veny Aleksandrov - FIG Partners, LLC, Research Division: And one very short question. On the Bangor [ph], how -- what percentage of it is pipelines plus power generation?
Jose Ramon Mas: So Veny, we didn't provide that, and I don't think we have that here handy.
Operator: And we'll take our next question from Adam Thalhimer with BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Jose, directionally speaking, all these wireless awards, I mean -- and what would you think that -- what would you expect the growth rate -- the revenue growth rate to be in wireless next year, just ballpark?
Jose Ramon Mas: Well, it's never ballpark with you, right? You guys always want a number. But we'll -- look, I think it's going to be a great year. I think we're going to get to a really solid double-digit growth rate, and another double-digit growth rate doesn't give you a lot of guidance. But I don't think we're in a position to necessarily guide our wireless revenues for next year, other than to say we're obviously going to be in a lot more territories, participating in a lot more jobs. The opportunity is huge for us, and some of it's going to come down to execution and our ability to execute on those opportunities. But we've enjoyed enormous growth rates in the past in that business. And again, '12 has been somewhat of a slow growth year, and we expect '13 to get back to a rather rapid acceleration again in the wireless business. But I don't have a number to give you today.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: That's good. And then I did want to ask about master service revenue. It's up sequentially but down 15% year-over-year. Is there -- is that more of a mix shift, or is there some weakness on kind of the utility side of the business?
Jose Ramon Mas: No, there's no weakness. I think it's definitely mix, right, as you grow transmission in pipelines. Those are project-based -- and even the renewables, right? I mean, all of our renewable business is really project-based work. So because of the spike in renewables revenue, it's probably moving that number a little bit more than what we'll see next year.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay. And then just one more quick one. Does government revenue go to 0 now?
Jose Ramon Mas: Pretty much.
Operator: And we'll take our next question from John Rogers with D.A. Davidson.
John Rogers - D.A. Davidson & Co., Research Division: First of all, just in terms of the revenue from the industrial and projects that you disclosed, the $200 million, is that all pipeline and transmission in there?
Jose Ramon Mas: No, I think that's our power generation renewable business. So that's mostly wind farm, solar and the industrial work that we're doing, not transmission and not pipeline.
John Rogers - D.A. Davidson & Co., Research Division: And not pipeline, okay. That's what -- I just wanted to make sure. And then I guess, Bob, you talked about the stepped up capital spending. What is that for? Is it installation equipment or...
Jose Ramon Mas: So I think that the message or one of the messages today is we're seeing excellent acceleration in our transmission business. We feel that we're going to see excellent acceleration in our pipeline business, so those are obviously capital-intensive businesses where we'll put a lot of iron on the ground. I didn't get the question, but I know it was alluded to earlier in terms of capacity and our ability to manage to capacity. One of the things in terms of being able to have the capacity to do a lot more work is having the right people, most importantly, and then, obviously, the right equipment. And I think what you'll see is us spend a little bit more on equipment in terms of what we've guided to today. We're also going to look at the election. We're going to look at where we think the bonus depreciation rates are going, and we may look at that further as the year plays out because the 50% bonus depreciation is somewhat of an important metric. And I think, depending on the election, we'll have a much better feel of where that's going to head, and based on that, we may look at things differently in Q4 or not.
John Rogers - D.A. Davidson & Co., Research Division: Okay. And I guess -- I mean, that's what I was trying to get to, is how much more capacity does this give you?
Jose Ramon Mas: Well, it's only $10 million of additional CapEx. So it's not -- it's modest. But I think that we will -- obviously, we'll start buying CapEx for 2013 as well. It's all going to depend on the wins, right? So if we keep winning at the rate that we've been winning, then we're going to need to spend more money, and that's a good thing.
John Rogers - D.A. Davidson & Co., Research Division: Okay. And your depreciation run rate now is what or close to a -- $23 million a quarter?
Jose Ramon Mas: This quarter was about $23 million. We expect it to go up slightly in Q4. And obviously, as we keep buying new equipment, that's going to continue to increase. So I think it was $23 million this quarter.
Operator: And our next question comes from Liam Burke with Janney Capital Markets.
Liam D. Burke - Janney Montgomery Scott LLC, Research Division: On the SG&A front, it looked like you've got -- as a percent of sales, it came down a little bit. Will you be able to continue to get leverage off that line, and is that part of your assumption in how you're getting to the double-digit EBITDA goals?
Jose Ramon Mas: Well, no. I mean, if you look at -- SG&A went up $4 million quarter-over-quarter, so it wasn't a significant jump, and we're not going to have enough movement in SG&A to have dramatic effects on margin. The quarterly jump was attributed somewhat to increased legal expenses, some of which pertain to our resolution of the Sintel matter in Spain. So we had about $1 million increase in legal expenses quarter-over-quarter. And then with -- based on the performance that we've had, we actually approved more bonus in the third quarter than we had in the second quarter, which drove a couple million dollars more of SG&A on the wage side. So I don't think you're going to see huge changes in our SG&A from a pure dollar perspective as we go forward, and obviously, as the company grows, we'll gain some mix benefit to that. But I don't think that's the main -- that's not, by any stretch of the imagination, one of the main drivers in margin expansion.
C. Robert Campbell: The real driver on the margin expansion is improvement of the gross margin line. And some of that's the mix from more pipeline and more transmission and not having the drag of the Marcellus challenges this year and the mixed blessing margin benefit -- or the benefit of, frankly, less wind [ph] as we look to next year. So the G&A line as a percent of revenue is not going to -- we've come down dramatically over the last 5 years, and we may still get some additional scale benefits, but the EBITDA margin improvement will be driven by gross profit, not G&A.
Liam D. Burke - Janney Montgomery Scott LLC, Research Division: Okay. And on the wireline front, Jose, you mentioned stimulus being out there and the growth is still there. How do you see that going into 2013?
Jose Ramon Mas: When I look at that business, and you got to go back a few years, you got to go back into the '07 time frame, '06, '08, that business was down from its peak by 40%, 50% both in the distribution and the wireline side. So those businesses were devastated by the housing crisis, and I think you'd see that with a lot of our peers as well. And I think what the stimulus is going to end up doing is really bridging the gap between the time of the issues around the housing market to the housing market starting to come back. So what we're seeing in both of those businesses today is that the housing market is improving. It's having some effect on those businesses, which is very positive. And there's still a lot of stimulus work left that's probably going to go through '13. And I think that we're going to see a continued improvement in the housing market through '13 going into '14, and I think at that point, the housing issue is going to really help those businesses. And if you think about a lot of the houses that are starting, a lot of the housing -- or the projects that are tied to housing that have started, a lot of them were projects that had been started by a developer and then stopped, and they went back out and maybe the pads were poured or -- and in a lot of those cases, the utilities had already been taken to those subdivisions. So a lot of the housing structure you're seeing today don't necessarily positively affect our business. It's when you start having greenfield communities that get built where it begins to really impact our business, and I think that's what we're going to start seeing over the course of the next year. And I think that both of those businesses, the distribution and the wireline communications business, are going to be very positively impacted by that.
Operator: And our next question comes from Noelle Dilts with Stifel, Nicolaus.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: I have 3 questions. One's quick, and I promise, Marc, that I'll stick to those 3. The first is, can you tell me how much revenue you did on those 2 troubled pipeline projects in the quarter?
Jose Ramon Mas: About $25 million.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then can you just clarify, you're now -- with AT&T asking you to participate in these expanded markets, are you participating as a secondary contractor, or how does that kind of fit into the contract structure that you have with AT&T?
Jose Ramon Mas: So we're being asked to participate in new markets. Obviously, the reason we're being asked is they're having issues completing their builds. And our hope and desire is to turn those opportunities into long-term plays for us.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then on the industrials and renewables business, can you just talk about -- with wind coming off so significantly, first, can you talk about the growth rate and your -- I know you're expecting growth in solar, but maybe just talk about the number of pipe projects you're seeing in the pipeline and then just touch on how you're addressing resources in that business. Obviously, you've ramped up both your labor and equipment to some extent to meet this level in 2012. With wind falling off, how are you thinking about reallocating those resources and just addressing that significant decline?
Jose Ramon Mas: Sure. So a couple of things. I think we'll see a reduction in our power generation revenues next year, for sure, because we won't be able to offset all the wind decline with some of the other businesses. I think overall, as a company, we'll offset them and we'll grow, but not necessarily within that business. But we'll make up some of it, and I think that the biggest opportunities to make up some of that revenue shortfall, for the time, being is in solar. There's a lot of activity in the solar market. We've got a lot of bids outstanding for substantial amounts of money, which could really drive the business next year to -- in a very large way, right? So it could be very positive or it could just offset some of the losses. So the solar business is just active, a lot of projects, a lot of business, and I think we've done a good job this year of building that business, of getting it better, and so a lot of opportunities. We'll continue to grow the other pieces of that business. So we feel real good that we're going to have a very sustainable business that's going to actually perform at better margins next year than it did this year. But no question there's a decline. From a resource perspective, one of the reasons that we're having such margin challenges in that business is we didn't spend a lot of capital based on what we thought was going to be somewhat of a bubble year, so we're renting a lot of equipment, which is at a much higher expense, which is negatively affecting margins, but obviously, when the projects are done, you get rid of that equipment and you have no tail on those expenses. And two, from a personnel perspective, which is a great question, we're actually doing everything we can to keep as many of those people within the organization, and we've moved a lot of them into our wireless business. So a lot of those guys that were placing towers or climbing up the towers have now moved into our wireless business into similar-type roles, where I think they can be very successful and really help us in our competitive landscape within that business.
Operator: And we'll take our final question from Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Jose, so why have you been giving us all these jigsaw pieces to the puzzle? I've been trying to piece them together for 2013. Last quarter, you said revenues maybe would be flattish, maybe it seems we might see some low-single-digit growth. And then, if I take that alongside your double-digit EBITDA margin percentage, it seems difficult to come up with revenue growth of less than 20%, 25% for next year. Are there anything, any factors I need to think about for 2013 which could be offset?
Jose Ramon Mas: So a couple of things, Tahira. I think A, we will see a decline. I do not think we're going to grow revenues at 20% next year because we have a significant decline in our power generation business that we'll see. So I don't want you to get -- I know you're excited and so are we, but we've got a hill to climb from our power generation business. That business is going to do north of $600 million next year, and that business could be off $200 million dollars next year. So we'll make that up with the rest of the businesses, and we'll still have growth. We do strongly believe that. But last quarter, we said we think we can grow the business in the mid-single digits from a total growth perspective, total company, including the generation business. And we're going to stick to that for now. Obviously, if we're successful in some of the solar opportunities that we're looking at, then maybe the whole -- this whole conversation changes. We will see nice growth in pipeline next year. We will see growth in transmission, and we will see growth in wireless. But again, we should see about a $200 million decline in our generation business, roughly. So I think, over the course of the last few years -- I know the flip side because it might be your next question. We have beat revenues. We've consistently beat revenues, and our hope is to continue to beat revenues. But at the same time, we're laser-focused on margins. We've been saying we expect to get to double digits. We've fallen short of that goal here as of late, and we need to get there. So for me, the story for 2013 is more about margins than revenue growth. It's about finally getting to our double-digit margins on some revenue growth, and when you start penciling out even that EBITDA, it's obviously a substantial increase in growth to EBITDA. So we're going to have, hopefully, significant EBITDA growth, even if we don't have significant revenue growth.
Operator: And at this time, I'd like to turn the conference back over to Mr. Mas for any closing remarks.
Jose Ramon Mas: Well, again, our prayers are with everybody that's been affected by Hurricane Sandy. Hopefully, we can get through this rather quickly. Based on everything that's happening, we really appreciate everybody's participation. And we look forward to speaking again on our year-end call, so thank you very much.
Operator: And that concludes today's conference. We appreciate your participation.